Operator: Greetings, everyone, and welcome to the Fourth Quarter 2020 Earnings Call. During the presentation, all participants will be in listen-only mode. Afterwards, we will have a question-and-answer session.  As a reminder, this conference is being recorded today, Tuesday, February 2, 2021. I would now like to turn the call over to Mike Mears, Chief Executive Officer. Please go ahead. 
Mike Mears: Hello and thank you for joining us today for our fourth quarter earnings call. Before we get started, I must remind you that management will be making forward-looking statements as defined by the SEC. Such statements are based on our current judgments regarding the factors that could impact the future performance of Magellan, but actual outcomes could be materially different. You should review the risk factors and other information discussed in our filings with the SEC and form your own opinions about Magellan's future performance. Magellan closed out 2020 with solid financial results, especially considering the continued negative impact the pandemic is having on petroleum products demand and commodity prices. Our fourth quarter results exceeded our expectations, primarily due to the incremental benefit from higher-than-expected shipments and average tariff rates for our refined products pipeline system. While we are not yet back to pre-pandemic levels of demand, progress continues to be made. Our CFO, Jeff Holman, will now review our fourth quarter financial results versus the year ago period. Then I'll be back to discuss our outlook for 2021 and the corporate conversion analysis posted to our website this morning before answering your questions.
Jeff Holman: Thanks, Mike. First, let me mention that, as usual, I'll be making references to some non-GAAP financial metrics, including operating margin and distributable cash flow, or DCF, and we've included exhibits to our earnings release that reconcile these metrics to their nearest GAAP measures. So as we reported earlier this morning, our net income for fourth quarter 2020 is $184 million, compared to $286 million in fourth quarter 2019. Adjusted earnings per unit for the quarter, which excludes the impact of commodity-related mark-to-market adjustments, was $0.94, which, as Mike pointed out, was higher than $0.80 guidance we provided last fall. With stronger-than-expected performance of the southern portion of our refined product system being the largest single driver of the outperformance versus our expectations, as a result of both higher volumes and higher average rates. DCF for the quarter was about $270 million, 25% lower than fourth quarter 2019, as consistent with our commentary since the outbreak of the pandemic, the lower commodity price environment and other pandemic-related factors continue to negatively impact our results. Full year 2020 DCF was $1.04 billion, resulting in a distribution coverage ratio for the year of 1.13 times. While this is, of course, below both our original 2020 guidance of about 1.25 times and our long-stated target of 0.2 times, nevertheless we believe this result underscores the resilience of our business model and the financial strength of our company.
Mike Mears: Thanks Jeff. Turning to our outlook for the New Year. This morning we announced DCF guidance of $1.02 billion for 2021. We recognized this number is a bit lower than the Street was expecting. And as usual I'll walk you through the key assumptions we have used to build our 2021 projections and it may shed some light on where the differences may be in the key assumptions, starting with our Refined Products segment. Our guidance assumes that Refined Products demand will continue to increase during 2021 especially during the first half of the year as vaccines become more readily available and travel economic activity and drilling rebound as the nation continues to open up. We further expect to benefit from additional volume growth from our recent expansion projects within the state of Texas. Factoring all of this in we expect Refined Product shipments to increase about 13% compared to 2020 results. Driven by 16% higher gasoline, 8% higher distillate and 20% higher aviation fuel demand. To be clear these volume projections include a partial recovery of demand lost during the pandemic, as well as a material contribution from the continued ramp-up in volumes associated with our new pipelines that were put into service in 2019 and 2020. We also thought it might be helpful to compare our forecast against pre-COVID demand levels as well. Compared to 2019 results, we expect our 2021 refined product shipments to increase about 3% overall driven by improved volumes from our Texas expansion projects partially offset by continued lower aviation fuel demand. For sensitivity around our assumptions we ballpark estimate that on average every 1% difference in total Refined Products transportation volumes is about $10 million in revenue on an annual basis. In addition to volume the average tariff rate for our Refined Products pipeline system is an important component to model this segment.
Operator: Thank you very much.  And our first question comes from the line of Jeremy Tonet JPMorgan. Please go ahead.
Jeremy Tonet: Hi good afternoon.
Mike Mears: Hi Jeremy.
Jeremy Tonet: I just want to pick up on the guidance and thanks for providing the color there. I was just wondering if you might be able to kind of unpack a little bit more the cadence of Refined Product recovery over the course of 2021. Just want to get a sense if this is kind of back-end of the year weighted, or if you see a kind of more linear progression over the course of the year? Just want to see what's baked into your assumptions there.
Mike Mears: Well, it's kind of a combination of those two. It is back-end weighted certainly and it is a gradual progression through the course of the year. I don't have actual graph of the chart in front of me. But it's -- I mean it's a pretty ratable increase. I think the first quarter has by far the biggest impact. And then in the second third quarters it ramps up fairly quickly to get closer back to normal levels at least for gasoline and distillate by the fourth quarter.
Jeremy Tonet: Got it. That's helpful. Thanks. And maybe just also turning to the guidance and how you think about it? And the butane blending is inherently difficult to make assumptions on as it can kind of move around that margin there. But just curious I guess the $0.25 that you're seeing right now and it looks like that's baked into your guidance. Is that what you think is kind of a new paradigm for butane blending with RINs where they are, or do you view this as kind of a short-term disruption in the market and there could be room for recovery in blending margins in the future?
Mike Mears: Well, I think that it's more likely than not that these numbers will gravitate back towards kind of the long-term averages. We don't really see anything in the market in a post-pandemic world that would dramatically change that. What's hurt the margins in the fourth quarter and really going into the spring has been the relative strength of butane prices versus gasoline prices which one would expect to widen again once gasoline demand starts to catch up. And then the other element has been the increase in RIN prices. Now, one could argue that RIN prices may stay elevated for some time. But I think again as gasoline demand grows, again, you've started to see some refinery rationalizations already with expectations of future lower demand on gasoline that that will widen the margin for gasoline even further to capture some of that RIN value. There's a number of efforts underway to increase the amount of renewables being blended into fuel and that also should put some pressure back on RIN prices to bring them down. So, our view is that this is -- two things it's related to the pandemic and the reduction in gasoline demand, and it's also related to the emergence of increased RIN pricing which I think will moderate over time as more renewable fuels are blended into the fuel stream.
Jeremy Tonet: Got it. That's helpful. I’ll stop there. Thanks.
Operator: Our next question is from Shneur Gershuni, UBS. Please go ahead.
Shneur Gershuni : Hi. Good morning or rather good afternoon, everyone. I was wondering, if you can pivot to the discussion around, you were talking about adding potential growth projects. And you talked about in the last conference call about, how some of the refinery shutdowns could create opportunities. Should we expect that for you to capitalize on those opportunities that it will always involve capital that will needed to be spend obviously at the return profile that you described, or is there operating leverage within your existing systems that will allow you to take advantage of that as well too? And so we can just sort of see a natural progression upwards without having to spend capital in some instances? 
Mike Mears: Well, I'd start by saying that, there's a significant amount of operating leverage in our system. I mean, our pipes in general are not operating at 100% capacity into many, many markets. And so there's operating leverage there. It's impossible to say though, how much capital, if any we have to spend because it's very specific to which refineries reduce capacity or set out. So for instance in Cheyenne with the refinery closure, we're making some modest capital investments to expand the capacity of our terminal, but that's simply so we can get more trucks across the truck rack, but the pipeline capacity can accommodate the gap that's left in the market. And so it's really – it's hard to answer your question. I think in many cases the capital we would need to invest, if they're refineries that are kind of embedded in our system or at the ends of our system then the amount of capital would be very, very modest. But again, we haven't done a lot of work on modeling that. We're planning for that because, we don't have any inside knowledge as to what refineries are planning to reduce capacity or expand. I mean, we'll know, when you know, and so we don't spend a lot of time planning for what we don't know yet, but we can react pretty quickly if that happens.
Shneur Gershuni: And that makes perfect sense. Thank you for that. And maybe just pivoting back to your guidance expectations for this year, I was wondering if you can say – I know, it's early in the year at this point right now but sort of how you're tracking versus your first quarter forecast. And then if you can also provide to us you sort of went quickly through the prepared remarks. But if you can provide to us volumetrically, where you see 2021 versus 2019 on an apples-to-apples basis sort of excluding the growth projects. Just kind of curious, how you're thinking about that.
Mike Mears: Well, to answer your first question and what we're seeing year-to-date in January is consistent with our expectations, which is not surprising since we're giving the guidance here at the end of January. But we're pleased with the trajectory that the Refined Product demand is in the markets we serve. On the second part of your question, I don't have that handy. I think the number is 3% overall. But I don't have the breakdown in front of me on – and maybe Jeff does.
Jeff Holman: Yeah. No. Well, one of the reasons we don't have a number handy is because as I tried to explain a little bit the nature of that analysis is pretty complicate, because the majority of our growth projects were those Texas projects that came with good contracts behind them. The assets that were being expanded have been on allocation for years. Some of the existing business was committed and some of it wasn't. But with the pandemic and the drop in drilling what you saw was – and so those things happened just as those projects started to ramp up. And some people started meeting their commitments and you saw some volume shifting from base to growth. So, if we look at it that way, we get kind of a skewed answer where our growth projects look really strong. And our base business looks really weaker than what would otherwise you would expect based on what's happened to overall demand. So it's – it kind of just becomes a bucketing exercise when we do that. It's I think obscures more than reveals. And so that's why the reason we've stopped providing that separate look. Obviously, we know that has implications clearly for the short-term sort of multiple on those projects. Those projects did not anticipate starting in the middle of the pandemic or a price war. We fully expect and are starting to see that demand ramping back up. And so we expect that eventually the demand we originally did those projects to serve will be there. But right now, it's kind of a bucket excise in growth and base we don't find that productive. 
Shneur Gershuni: No, I appreciate the difficulty there. Maybe, if I can slip one last one in. Given the sizable capacity remaining on your buyback authorization is it fair to assume that any excess cash flow or free cash after distributions this year will be directed towards buybacks, or are we pivoting more to the growth side now?
Mike Mears: Well, I think it's fair to say that free cash flow above our distributions and above our capital spending is going to be considered for equity buybacks. It's going to be a timing issue. It's going to be a valuation issue on the units whether or not we think that they're attractive at the point in time that we have that free cash flow. We think the price is very attractive right now. But if you look at our forecast for the year, we're projecting $100 million of free cash flow above the distributions and we're also projecting $100 million of expansion capital spending. So, it's fairly well balanced. So to the extent that we outperform our guidance then perhaps we'll have excess cash to pay to equity. We're not planning at this point to increase leverage further in 2021 just to buy back equity. We did some of that in 2020. As it stands right now, we don't plan to do that in 2021. Of course, all of that is subject to change as we have new information as the year goes on, but that's where we stand right now.
Shneur Gershuni: All right, perfect. Really appreciate the color today. Thank you very much.
Mike Mears: Thank you.
Operator: And our next question is from Tristan Richardson with Truist. Please go ahead.
Tristan Richardson: Hey, guys. Good afternoon. Appreciate all the comments on the crude side. Just one quick one on Saddlehorn, as it relates to being contracted at 75%. Can you talk about when credits expire and/or you expect them to be exhausted such that you start to see customer volumes ex the affiliate and reach that contracted level?
Jeff Holman: I don't have those numbers right in front of me on the credit. It's not a very huge number. It's really not that -- not a very big driver. There's a little bit of that going on there. But this should be complete by the first half of the year. We should be fully ramped up in the second half of the year.
Tristan Richardson: Helpful, thanks Jeff. And then, just going back to the question around on the distillate side, kind of curious what we should be looking for in terms of either rig count or production recovery to hit the assumptions that you guys have kind of laid out?
Jeff Holman: Well, I don't have a specific rig count. And to be totally candid, there's still a little bit of discovery on that, because we are moving barrels to Albuquerque were moving barrels and the Kinder Morgan going west. We're moving barrels into Mexico. So, it's not just the rig count that matters for our volumes out West. It's a very big part of it, but we're working on other things as well to draw demand in that system. The best I can really tell you is directionally as rig count goes up as activity goes up, up there you will see our volumes go up and those are long-haul barrels. So they're typically very attractive barrels for us to move. And that's really best I can tell you. Demand in Dallas is also part in that picture because of the ECs earned expansion sort of Dallas market. So, there's a number of different factors.
Tristan Richardson: Fair enough. Thank you, guys. Appreciate very much.
Operator: Our next question is from Spiro Dounis, Credit Suisse. Please go ahead.
Spiro Dounis: Good afternoon, everybody. I'd like to go back to guidance quickly if we could. Mike, all those inputs make a ton of sense on in isolation. But I guess what I'm still struggling with a bit is just big picture EBITDA guidance, year-over-year being down. And it would seem like the $355 million spent on expansion last year recovering refined products market, should have been enough to offset Longhorn and butane. But I guess that's not right. So I'm just curious, you just elaborate a bit more on -- maybe on a gross margin basis what some of the big puts and takes are in the year.
Mike Mears: Well, give me a moment. I think let me just kind of hit some high-level buckets. If we look at crude transportation and blending profits year-over-year, what we have in the model. I can tell you for crude transportation year-over-year. It's about $60 million less 2020 versus 2021. And that's just a combination of volume and rate. And then the blending profits, I think where things maybe a little skewed is that our blending profits in 2020 in the first quarter were very strong. And so, if we compare our forecast for 2021 versus the full year of 2020 that's almost a $50 million decline there. So between those two is $110 million year-over-year decline in earnings between those two items. Offsetting that is mostly the Refined Product recovery, which is bringing us back to where we are. Those are the biggest buckets. There's some other smaller things in here. I think for instance, in the second half of the year we had increased storage revenue because of the contango in the market that we locked in. For the second half of the year that's not repeating in 2021. So there's a handful of things in there. But those are the biggest buckets. 
Spiro Dounis: Okay. That's actually really helpful. So thanks for helping bridge that for us, Mike. Second question you and Enterprise recently announced plans to develop a futures contract market with physical delivery into Houston. Can you talk about the decision to do this now? And how you expect that to impact volumes on the system longer term? And if there's any other areas for you and EPD to work together like this? 
Mike Mears: Well as you know both, we and Enterprise initiated programs on different exchanges a couple of years ago to try to build a pricing market and a futures market in the Houston area. And quite frankly it hasn't carried a lot of traction. The pricing market at our Houston facility or the pricing mechanism has become well adopted. But the futures offering really hasn't gained traction. And there's what we believe a couple of reasons for that that we've heard from the market is that there's just a great deal of confusion and friction on how we and Enterprise work together with delivering product -- crude oil to each other, how a customer can transfer from one terminal to another, what's the price discovery on the tariffs. And quite frankly, it is confusing. And so we think that's one of the big reasons why this hasn't taken off.  At the same time, there was another effort being developed with the AGS contract that was -- had a lot of interest in the market. We had been in discussions with the sponsors of that program. And the market was really looking at that as maybe a solution, but the biggest impediment is the lack of transparency and clarity around how we and Enterprise would work together to make that happen. So it became apparent to us and I believe Enterprise also is that if we really wanted to make something work in the Houston area we had to work together. So that's what we've done.  We are going to agree on mutual delivery points. We are going to agree on access to the facilities. We are going to agree on identifiable transfer rates between the terminals for physical delivery. We're going to do all those things to make it easy for the customers in the market to trade futures contract in Houston between our two respective systems. We think that that has great value to the market. We think that there's a lot of people interested in that. We're still working on the details of that behind the scenes, working on an exchange to work with to put this into place. There's really no capital involved for us at least to do this. We've got the storage. We've got the piping. Both of our pipeline systems are connected to the refining complex and really all of the export facilities in the area.  So we think we've got a comprehensive offering. The real value here we think is just a long-term value to make Houston the destination of choice. And increased liquidity, which we think will in time increase the value of the storage and the utilization of the storage in the Houston market and also if it works the way we expect it to work is to keep our respective pipelines, which go from the Permian to Houston as full as we can as customers want to get to a market where they have a liquid futures contract similar to what you see in Cushing. 
Spiro Dounis: Thanks for the color. Mike. 
Mike Mears: Thanks.
Operator: And our next question is from Gabe Moreen with Mizuho. Please go ahead.
Gabe Moreen: Good afternoon. Just quick two-pronged question from me here on the corporate conversion potential. To what extent was the income tax allowance issued with the FERC considered or not considered I think in the analysis? I guess that's one. And then maybe sort of as a related follow-on or maybe not related. Just either your returns at your regulated pipelines in 2020 and latest thoughts on following the rate case sometime in the future? 
Jeff Holman : I didn’t understand the second part? 
Mike Mears: Could you repeat the second part of the question? 
Gabe Moreen: Sure. Just latest thoughts on filing a rate case on the pipeline -- on the regulated pipelines? 
Mike Mears: Okay. I got it. Well I mean in our analysis, we really didn't take into consideration the income tax policy of the commission. This was just clearly looking at what's our tax liability is a partnership today and what's our tax liability, if we convert to the C-Corp. Now there's a nuance there. Obviously, if we convert it to C-Corp and there was a tax liability on our regulated assets. Then that clearly is a factor that would impact the cost of -- potential cost of service filing, which presumably increase our rates in order to capture that cost of that tax liability.  I'd point out though again that, that only applies to 40% of our regulated markets, which is also just a subset of our entire business. So there is a small benefit presumably or I should say there is a small opportunity, I shouldn't say small. There's a partial opportunity to recover some of that tax in tariffs. We didn't factor that into our equation. I don't think it would change the answer, because in the context of our entire company, I think it might lower the -- if we were successful in that regard to get the tariffs increase to recover that that, it'd be a small portion of what we've projected to be our total tax liability. On your second question, whether or not we intend to file rate case, we haven't made any decisions on that. We will -- we are evaluating it. We -- if you look at our historical page 700s it reflects that we're under earning in total on our pipeline system. And we do not believe in our view that the current index is representative of what our future cost increases per burn mile are going to be, especially if you believe that refined products demands are going to slowly decline over time. And so we evaluate it. And if we think that the gap between what we're earning and what we could earn or should be able to earn to recover our costs, we'll proceed with the cost of service filing. But that's the best I can say now. It's not something that we've made a decision to do, but it is something that we are evaluating. And I can tell you it's also something that we're preparing ourselves for. We haven't been in a cost of service rate for over 20 years back when we were part of our predecessor Williams. And so, our experience and knowledge on the details of actually executing cost of service rate case is pretty dated. So we are aggressively going internally through the process of getting ourselves up to speed and prepared in case we decide to do that.
Gabe Moreen: Understood. Thanks, Mike.
Operator: Our next question is from Praneeth Satish with Wells Fargo. Please go ahead.
Praneeth Satish: Thanks. Good afternoon. We're seeing some new strains of COVID and I guess a relatively slow rollout of vaccine. So I'm just wondering just from a high level, how you approach this in the 2021 guidance? And does it include any kind of cushion there for these variables? 
Mike Mears: Well you're probably getting a little more precise into our guidance than what we actually did. I mean, when we look at our -- when we developed our refined product guidance, and I mean we don't have a much better crystal ball on the future than other people do. Certainly, we know what our trends are. We know what we're seeing within our market areas. But we also rely heavily on third-party analysis. We have a handful of consultants big name consultants who know who do refine product demand projections. We take government statistics on refined product demand projections. We kind of take all of those things and homogenize it into what we think is the best guess. So to the extent that those factors were built into some of the third-party models we looked at then, yes. But we didn't look at our trends and say, we think there's going to be a material change in these trends based on the new variants and based on the slowness of the vaccine rollout. Because I think it's still too early to tell. I mean, the vaccine rollout is picking up steam. Hopefully, it will keep progressing and gaining momentum. And -- but in short, your answer is no. We haven't specifically put those variables in there.
Jeff Holman: Yeah. I'd just add, we were very much in the problem -- situation. I think we could all point of different data points that you could extrapolate one way or the other. That's why we try to continue to tell people look rule of thumb, if you want to make your assumption to present demand it's about $10 million on an annualized basis. So if you think you need a little bit of Cushing, you can build it, but we have not built Cushings per se into our forecast.
Mike Mears: I think just on the positive side, I mean, the other thing we haven't built into our forecast is a pop in demand. But based on all this pent-up or perceived pent-up desire for people to get out and travel. I mean, there's a number of people that are projecting that. I personally think that that's likely going to happen that once we get to a level of stability, whether it's late spring or summer that there is a lot of pent-up demand and there's probably pent-up demand that wants to drive a car rather than flying an airplane. We haven't built any of that into our models either.
Praneeth Satish: Okay. That's helpful. And then this is I guess a very high-level question. But as you look at your leverage, obviously one of the better balance sheets in the space. But if we're in a scenario where energy transition occurs over the next few decades, do you think it makes sense to just keep chipping away the leverage ratio and get to an even lower run rate leverage, or are you comfortable with where it is based on the current business mix?
Jeff Holman: Well, we have a lot of flexibility right now I think is what I would say. We do not have any debt due until 2025. We've got the luxury to watch things develop. I think the kinds of things you're talking about that are almost generational typically they're not going to happen overnight. So we've got time to address. But we're not on -- we're not currently on a path to lower leverage. We have not decided that our intended course. We like where we're at. It's consistent with what we've talked about for a long, long time. But we'll continue to watch that and manage as some of the things you're discussing start to get more or less firm.
Praneeth Satish: Got it. Thanks.
Operator: Our next question is from Michael Lapides, Goldman Sachs. Please go ahead.
Michael Lapides: Hey, guys. Thank you for taking my question. I know this is pretty far out thinking. I was at a conference last month where a prominent CEO one of the producers made a comment about oil pipeline takeaway capacity in the Permian that we're probably going to have a massive excess of supply not just for the next couple of years but for like eight to 10 years. And if I think out past three or four years, maybe four or five contracts roll for pretty much everyone all included. How do you -- if that CEO scenario plays out, how do you think about what the long long-term, kind of, post year three, what that does to the earnings trajectory not to you all specifically, but also the industry as a whole the, kind of, the big Permian pipe.
Mike Mears: There's a lot to that question. I mean, I think the first thing I'd say is one thing we're trying to do to prepare for that if it happens is to make Houston, the most desirable location for physical barrels by advancing a very liquid futures contract with access to the water. So that's one thing we're doing. I also think it's likely if we get into that scenario that participants in the market will start evaluating conversions of their pipes to other services. I can't promise that will be done. I can tell you we think about it if the need is there to do that with our pipes, nowhere near making any kind of decisions on that. But I think if you get into environment where the margins are so low, all the contracts are gone you have excess capacity. So everyone's fighting per barrel with extremely low tariffs then there's going to be a huge incentive for people to look for economic conversions and take capacity out of the market. So there's a lot of what ifs there. I mean, first what if is, is he right? I mean it's -- which I think once you get out five or six years from now, I don't think anyone knows what the crude oil market might look like. I mean -- again if you go through a normal cycle, we could have very high prices and drilling picking back up. But I'm not making that as a prediction. I'm just saying that there's so many variables related to that that you really can't plan for now. And we wouldn't plan for it now since we have contracts today. But as we get closer to the end of our contracts as other pipelines get closer into their contracts then I think those are the things people will be looking at.
Michael Lapides: Right. No, that makes sense. And then another question shifting to the refined products pipeline side of the biz. You talked about on the 60% that negotiated rate that you normally try to get a 3% to 4% increase around the same time the indexation rates kick in, just curious how have your customers responded to you, given just kind of all the pain that your customers have gone through this year? And in 2020, obviously, like are they willing to absorb a 3% to 4% price hike?
Mike Mears: Well, if you're asking about this year, we haven't done it yet. So we haven't had those discussions with our shippers. But we have over history in certain years raised our rates in our competitive markets more than we have in our index markets. And when we have discussions with our customers, we really try to focus back on what our actual cost structure is. And I'm not going to argue that they like it when we raise rates. But we've got a good basis for it. It's an easier discussion.
Michael Lapides: Got it, okay. I was just thinking back to maybe the last really big oil downturn, kind of, the 2014, 2015, 2016 time frame and try to think about were you able to pass-through a 3% to 4% increase back then and just compare it to what we're all going through and watching now?
Mike Mears: Well, I can't recall exactly what we did back during that time. But there have been a number of times where there's been a deviation between the index and our competitive markets. And that's caused a little disruption.
Operator: And our next question is from Derek Walker, Bank of America. Please go ahead.
Derek Walker: Hi, good afternoon everyone. Mike, I think in your formal remarks, you mentioned there are some smaller projects that were canceled. Can you just discuss some of the dynamics there? And I just want to see what types of projects were canceled?
Mike Mears: Well, I mean the kinds of projects you would expect would be canceled in the kind of environment we're in. I mean, they were based on expectations for continued volume growth that we've dealt in certain markets and we now think is either longer-dated, and so, well, so that we don't need to make those investments right now. I mean for example, there were some tanks that we were looking at building in some southeast terminals to accommodate incremental volumes into those terminals. It really isn't necessary right now. It may not be necessary for a number of years. And so it's those kinds of things.
Derek Walker: Got it. And then maybe just a quick follow-up. As far as the energy transition opportunities you mentioned that's helped lending biodiesel renewable diesel beyond what you might be doing today I guess, what's one of those do you see as the largest opportunity set? And what type of CapEx or return profile do you expect for those projects?
Mike Mears: Well, there's quite a bit of potential legislation in our markets, Minnesota, Colorado, Iowa Missouri, that are considering either increasing their ethanol mandates or instituting biodiesel mandates. Those create opportunities for us, either by investing in blending infrastructure at the terminals, particularly for biodiesel because we don't have blending infrastructure at all of our terminals for biodiesel or for blending for pipeline transportation. We can blend a certain level of biodiesel into diesel and transport it by pipe. We can certainly blend renewable diesel into diesel and transport it by pipe. There's no market for that today in our market areas, but if states enact low carbon fuel standards and there may be a market for that. And actually -- and this is probably a little more in the development stage. But we feel like, we've reached a level of comfort where we could ship blended gasoline and ethanol in the pipe. So we're looking at some opportunities for that also.
Derek Walker: That’s helpful. That’s it from me guys. Appreciate the time.
Mike Mears: Thanks.
Operator: And our next question is from James Carreker, U.S. Capital Advisors. Please go ahead.
James Carreker: Hi, thanks. Just going back to kind of views of normal refined product demand, any thoughts about -- you talked about DCF increases over the next several years. How much more volume could you put on your system, if we kind of get back to that 2019 level of demand, I know it's a tough question but just any high-level thoughts?
Mike Mears: Is your question one of capacity, or is it one of what our projections are for increased volumes?
James Carreker: Not necessarily capacity in the sense that your pipelines run below 100%, but just in terms of if we did get back to a scenario that was very 2019 like in terms of demand, how much more volume would that be relative to what you've laid out for 2021? Is it -- is there income of 5%, 10%, 20%? I guess. I'm just trying to get a sense for how much of normal ROE in 2021? And then theoretically how much room would that be beyond 2021 in that? 
Jeff Holman: One way to maybe answer that question -- one way to maybe answer that question would be when we came into 2020, I believe our initial thoughts were with growth projects we were expecting an increase in volumes of 10% over 2019. So now we're telling you 2021 all-in, we expect to be 3% over 2019. So there's probably at least 7% higher growth you can imagine if we got back to full levels. And that's probably understating things a little bit because it doesn't include any additional ramp on our gross projects that we would have expected. And we gave that 10% number. So 7% is probably a floor.
James Carreker: Okay. That's very helpful. And then, I just wanted to maybe ask about BridgeTex. I think, you guys talked about -- the capacity is 80% contracted, but you're expecting I think 310,000 barrels a day of throughput. I think that number is fairly significantly lower than the 80% number. Am I doing the math right there?
Mike Mears: Yes.
James Carreker: Any color on what's going on there? Are you still going to be receiving deficiency payments, or maybe any color about how that's going to work.
Mike Mears: Well it's a little complicated. We have a contract with an affiliate of the pipeline. And the way that contract works is there's an associated basis derivative agreement. And when the margin gets particularly low, the differential gets particularly low. There's -- it reaches a point where even if they shift we don't make anything off of it. And so we've just assumed that it's not shipped. If they did ship it wouldn't increase our income. So I think that's the way to look at it. It would increase our income in the current basis differential environment.
James Carreker: Okay. So it's not related really to deficiencies as much as it is just the basis. 
Mike Mears: Yes. Right.
James Carreker: And then if I could fit one more and I apologize. But can you maybe talk a little bit about sensitivity to butane blending margins if we get an extra $0.10 in the back half of the year. What that could do to cash flow? And then broadly speaking, I think you've also talked about you do have some commodity sensitivity through I think pipeline loss allowances and things of that nature. So any color on what commodity deck your guidance was based on?
Jeff Holman: Well, on the first question I think you asked about 10. Maybe if I could tell you I'm not cheap and say $0.15 a gallon…
James Carreker: Okay.
Jeff Holman: We see an issue. And this year we say about $35 million of upside. And it be more the following years because this – a significant portion of this year of course is already fixed already hedged.
James Carreker: Got you.
Jeff Holman: Especially the number that I had handy. And then I think you asked about what commodities that we're using. And that's just...
Mike Mears: I think his question was what would be the impact on our over and shorts. If there was an improvement in price. I don't know if we have that number.
Jeff Holman: I don't have that handy.
Mike Mears: Yes. We don't have that number handy. 
Jeff Holman: Well actually the number I quoted you the $0.15 and the $0.25 is inclusive of it's both tenders and lending.
James Carreker: Okay. Okay. I think last year you had talked about like a $10 price in crude oil was maybe $30 million of DCF. And so I was just wondering if we had a similar – if we had a running crude if maybe that relationship still held? 
Mike Mears: That relationship is – it's not – it's more just experience-driven. It's not perfect. And if you look at what's happening right now with the elevated butane prices and the elevated RIN prices that correlation really doesn't apply as well. Right now, we don't have a new correlation for you. But I wouldn't use that correlation at this point in time. And maybe when we get back to a normal kind of environment it will. But right now it doesn't.
James Carreker: Okay. Understand. Thanks for the color.
Operator: Our next question is from Michael Cusimano with Heikkinen Energy Advisors. Please go ahead.
Michael Cusimano: Hey, good afternoon. Thanks for all the details you’ve provided. Going back to butane blending. Can you talk a little bit more about the enhanced connectivity all announced previously? And is that more expanding your butane access, or does it have like direct margin expansion for that business? 
Mike Mears: It's pretty simple. It's direct margin expansion because we're going to be able to pipe all the butane into the facility rather than truck it.
Michael Cusimano: Okay. Got you. Yes. And then also do you all see any – is there any floor pressure on the butane margins from the continued growth in LPG exports that we've seen? 
Mike Mears: Well I think that's certainly what we're seeing right now is that the export demand has strengthened the price of butane relative to gasoline. And so that's one of the contributors to the compressed margin we're seeing right now.
Michael Cusimano: Okay. So I mean do you see that, I guess is it the butane price coming up more than the weakness in gasoline over the last year affecting those margins? 
Mike Mears: It is affecting the margins.
A – Jeff Holman: Certainly through recently. 
Mike Mears: Yes.
Jeff Holman: Over the last year I'm not sure, I'd say if we went back and looked at say what margins are doing in April. Not sure that was the case but there hasn't been the case more recently that the dramatic move has been in the butane side.
Michael Cusimano: Got it All right. That’s all I had. Thank you.
Mike Mears: Thanks.
Operator: Our next question is from Jim Murchie Energy Income Partners. Please go ahead.
Jim Murchie: Hey, guys. Thanks. It's Jim Murchie and Louis Lazzara at EIP. I wanted to go to the corporate conversion analysis we tried to kind of back into your $2.3 billion present value number. It all looks like a lot of that is in the out years. You gave us those data points in a few of the years between now and 2040. And if you just kind of ramp – you kind of ramp up the tax liability consistent with the depreciation graph you have. The present value over the first 10 years is only like $500 million. It's like $2 a share. 5% of market cap. So to get to the $2.3 billion, when we model this out through 2040, it looks like the terminal value of the tax is something like $4 billion. It's like 40% of the $2.3 billion is happening more than 20 years from now? That's the first question. The second question is, this is just what the corporation pays, as Gabe's question was an -- a offset maybe on the regulatory side. But there's an offset on the shareholder side too, the shareholder tax rate goes down and you didn't account for that. Just back of the envelope it looks like the shareholder savings is at least $1 billion in present value using the same kind of 8% discount rate that you guys have had? Because really it's the incremental tax for the -- both the company and the shareholders, that matters. And again the present value captures these years way onto the future of that. I'm not sure how many shareholders look at that. I mean, your graph alone showed that two-thirds of your shareholders have owned the stock for five years or less. So anyway I just want to make sure that, we understand the sort of the character of that present value. A, how much of it is in the -- beyond 2040. And B, that is not decremented by the savings to the limited partners?
Jeff Holman: Yeah. So, I think you're overstating, how much of its back -- in the backend in the 2040, although, you're -- I think you're directionally correct. I haven't calculated the first 10-year number, but directionally obviously.
Jim Murchie: Yeah. I'm using your, -- I'm using your numbers. I mean, I'm just kind of assuming a smooth progression from the $75 million in 2027, $187 million in 2030, discounted in percent, its $500 million.
Jeff Holman: I think you maybe overstated the 24 piece of it. But clearly, it is a long-term look, no question about that. As for the question around individual unit holders we did -- we have run in the appendix when we gave just a brief little bit of color. It depends on the trade group. It depends on when the person in question plans on selling. And it's a very -- it's sort of idiosyncratic answer for each unit holder, well what happened on an after-tax basis. If we're paying taxes and if we don't pay taxes, because it depends on what changes law happen, when they sell, what their basis which trade group they're in. So the more recent trade groups, actually are -- would be less likely to benefit from a conversion, in the older trade groups by our map.
Jim Murchie: No, question, but when you're going out to effectively 2090, effectively all of those years have turned over, right?
Jeff Holman: Again, 100% depends on holding periods. I mean, those questions are all again idiosyncratic to that person. So there is a one answer that, in this trade group's case, the answer is ex. It depends on how long I hold. And so if you hold -- the longer you hold, the more favorable the partnership is.
Mike Mears: See Jim, I might suggest that we just schedule a call with you separate, because we can get into the details on this a lot, to your liking and discuss it. But, if that's okay with you, maybe we can just schedule a call. And go through it in more detail.
Jim Murchie: Sure. Louis, did you have something else?
Louis Lazzara: Yeah. Just on slide six, when you guys looked at valuation there's vast majority of the S&P 500 companies, do not use DCF, as a metric, right? PE is much more commonly used. And if you look at the C-Corp comp that you guys presented here, the average forward P/E ratio is around 18.8 times, whereas Magellan is at 10.8%. So that's a 75% difference, just on Bloomberg consensus estimates. Did you guys consider that sort of valuation gap, in this analysis? And when you came to your decision here, or did you only arrive at DCF.
Jeff Holman: No. We focus on the details. Although, we look at valuation, we didn't put it on here but we looked at valuation all kinds of ways, as we try to think about this -- and we have over the years. And we simply don't think that the gap is there in the way that some people might perceive. We think that this while -- we take your point clearly DCF is not something that's super calm as pretty -- on for midstream companies. And we're pretty in line. And actually look pretty good. So, we struggle, I need to see that there's some arbitrage there that was obviously missing.
Jim Murchie: But on a P/E basis you guys clearly traded a discount relative to those concrete that are midstream companies, right? Is there a reason in your business -- like is there something I'm missing in terms of why your P/E would be depressed relative to the other -- the volumes and grades, some of those other guys?
Jeff Holman: I don't think I'm prepared to go into a lot of that on P/E, because we don't -- and frankly none of our investors ever bring up P/E with this either. So, it's hard for us to suddenly think about it, maybe in this terms. 
Louis Lazzara: Well, that's kind of the issue, right? That's the issue. The investors that hold you are through funds that are getting liquidated every day and the people that can't buy you, because you issue a K1 and 1099, who buy and sell things on PE and growth rates and earnings stability are the people that would change your valuation. The people that own you that you're talking to can't possibly change the valuation, they already own you. It's only the new people that can change the way the stock is priced and they can't buy you, so long as you issue a K-1. So that's why we make that point. You get into the world of the S&P 500, it's -- DCF is not the metric. 
Mike Mears: Just in the essence of time, I think, it would be better for us just to have this conversation one-on-one. And we want to have this conversation. So I'm not trying to push up. I just think that we need to move on and let's schedule a call, so we can talk about this in more detail, if that's okay with you.
Louis Lazzara: Sure. Yes.
Mike Mears: All right.
Louis Lazzara: Yes. Thanks.
Mike Mears: Thanks.
Operator: And those are all the questions we have at this time. Mr. Mears, I'll turn it back to you.
Mike Mears: All right. Well, I want to thank everyone for their time today and I want to thank you for your interest in Magellan and we will talk to you soon.
Operator: Ladies and gentlemen, that concludes our conference today. We thank you all for your participation. Have a great rest of your day and you may disconnect your line.